Operator: Good morning. Welcome to Trisura Group Limited's Second Quarter 2024 Earnings Conference Call. On the call today are David Clare, Chief Executive Officer; and David Scotland, Chief Financial Officer. David Clare will begin by providing a business and strategic update, followed by David Scotland, who will discuss financial results for the period. Following formal comments, lines will be open for analyst questions. I'd like to remind participants that in today's comments, including in responding to questions and in discussing new initiatives related to financial and operating performance, forward-looking statements may be made including forward-looking statements within the meaning of applicable Canadian and U.S. securities law. These statements reflect predictions of future events and trends and do not relate to historic events. They're subject to known and unknown risks and future events and results may differ materially from such statements. For further information on these risks and their potential impacts, please see Trisura's filings with securities regulators. [Operator Instructions] Please be advised that today's conference is being recorded. Thank you. I'll now turn the call over to David Clare.
David Clare: Thank you, operator. Good morning, everyone, and welcome. Trisura maintained momentum in Q2. Insurance revenue grew 16% in the second quarter, and we reported a 20% operating return on equity. Growth, strong earnings, positive investment performance and foreign exchange gains listed book value to over $695 million. Effective this quarter, we have refined the naming convention for our operating segments. What was previously referred to as Trisura Canada has been renamed to Trisura Specialty and includes U.S. generated business in the Surety and Corporate Insurance lines. Trisura U.S. has been renamed Trisura U.S. programs, acknowledging the range of structures in that segment. There have been no changes to what is operationally reflected in the two reported segments. In Trisura Specialty, each line of business contributed to growth over the prior year. Canadian Fronting and Surety led the way, growing 33% and 19%, respectively. Canadian Fronting growth resulted a more mature platform and continued growth of certain fronting relationships, while Surety growth was driven by increased market share, expansion in the U.S. and increased construction values. Warranty grew 13% as we expanded programs with existing partners. Corporate insurance growth was muted at 2% over the prior year due to continued expansion of distribution relationships despite balancing market conditions. Strong growth in Specialty was complemented by consistently profitable underwriting with a loss ratio of 19.6% in the period, in line with the prior year. We observed a slightly higher expense ratio as a result of start-up costs related to U.S. Corporate Insurance and Surety to non-recurring costs from changes in reinsurance structures and a shift in business mix towards Fronting, which carries a higher expense ratio. This drove a higher combined ratio of 89.8% versus recent history. On an operating basis, combined ratio of 87.5% in the period. The combination of growing and profitable underwriting was enhanced -- with enhanced investment income, which grew 73%, supported a 14% increase in operating net income and a 28% return -- operating return on equity. U.S. Programs insurance revenue grew 14% to $534 million as Programs mature. Q2 is historically our highest premium quarter of the year, and we continue to expect full year growth will be lower than previous years. Our admitted capabilities continue to grow as we generated $105 million in admitted insurance revenue in the quarter. The market continues to drive opportunities to excess and surplus lines, and we are well positioned to capture business in both segments. U.S. programs generated $22 million in fees, a 17% increase and recorded $45 million of deferred fee income indicative of future fees to be earned and a new record for our platform. Operating results in the quarter were strong and demonstrate progress made on improved profitability. Our loss ratio in Fronting operational ratio rose to 68% and 85.5%, respectively. Fronting operational ratio increased as a result of a slightly higher loss ratio and higher program retention, which increases the Fronting operational ratio despite higher profitability. I should note that when retention increases, Fronting operational ratio may increase despite consistent expectations for profitability. Growth and greater investment income contributed to a 21% increase in operating net income and supported a 15% operating return on equity. On an annualized basis, the U.S. programs operating ROE was 18% for the first half of the year. We observed healthy, albeit stabilizing pricing trends across most lines and continue to expect hardening trends in certain lines to balance, although not reversed in the year. This will be informed by the state of the reinsurance margin as well as economic and interest rate trends, and we feel well equipped to navigate this environment. Our pipeline of programs under consideration continues to grow. Net investment income grew 42% as a result of a larger portfolio and higher yields. We maintain a more defensive and higher-quality portfolio than almost any time in our history. We have continued to extend duration, redeploying short duration securities and cash into longer-duration instruments. Our goal is to secure current yields for years to come. We have observed rate reductions in Canada and anticipate the U.S. to follow this year. In the quarter, we added capital to our new Surety balance sheet in the U.S. and continued the process of expanding licenses and rate filings for U.S. Surety and Corporate Insurance. We expanded financial flexibility following an increase in our revolving credit facility to $75 million. We remain well capitalized across all entities and continue to evaluate both organic and inorganic opportunities. On June 3, we hosted our Annual General Meeting and Second Annual Investor Day. As part of the Investor Day, we hosted fireside chats with the specialty and U.S. programs management teams, providing the opportunity for investors to meet a broader group of Trisura team members. For those who may have missed it, there was a replay available on our investor web page. At our June AGM, Sacha Haque was appointed to our Board of Directors. Ms. Haque has enjoyed a long and successful career in the financial services industry and brings legal expertise to our Board. We are excited to benefit from her contributions. We remain committed to specialized underwriting as well as conservative reserving. We are planning for growth and with the capital base approaching $700 million in greater scale, we feel optimistic for the years ahead. With that, I'd like to turn the call over to David Scotland for a more detailed review of financial results.
David Scotland: Thanks, David. I'll now provide a walk through our financial results for the quarter. Insurance revenue was $772 million for the quarter and $1.5 billion year-to-date, reflecting growth of 16% over the prior year. Insurance service expense, which consists of amortization of insurance acquisition cash flows such as commissions, claims and other operating costs increased in the quarter and year-to-date periods, primarily as a result of growth in the business, leading to an increase in volume of claims and commission expense. Net expense from reinsurance contract, which includes both premium paid to reinsurers as well as recoveries from reinsurers increased in the quarter and year-to-date as a result of growth in the business, which has led to more reinsurance ceded, particularly from U.S. programs. Operating insurance service results in Trisura Specialty for the quarter was lower than the prior year as a result of a higher loss ratio. Operating insurance service result was greater for the year-to-date period as a result of growth in the business and continued strong underwriting profitability. Operating insurance service results for U.S. programs for the quarter and year-to-date periods was greater than the prior year, primarily as a result of growth in the business. The operating combined ratio of Trisura Specialty was 87.5% for the quarter and 84.8% for the year-to-date period, which is greater than the prior year as a result of a slightly higher loss ratio and higher expense ratio, with a higher expense ratio being driven by start-up costs associated with U.S. corporate insurance and a shift in business mix towards Fronting. For U.S. programs, the Fronting operational ratio, excluding non-recurring items, was 85.5% for the quarter and 85.2% for the year-to-date period as a result of a higher loss ratio and an increase in retained business, which generates a higher Fronting operational ratio. Net investment income increased by 42% in the quarter and 53% year-to-date as a result of an increase in the size of the investment portfolio, but also benefiting from higher risk-adjusted yields. Net gains for investments was $460,000 for the quarter and $12 million for the year-to-date period, primarily as a result of unrealized gain on equity investments held at fair value to profit and loss under IFRS 9, as well as foreign exchange gains as a result of strengthening of the U.S. dollar in the period. Other operating expense, excluding the impact of share-based compensation, which is mitigated through our hedging program increased by 17% for the quarter and 27% for the year-to-date period, reflecting growth in the business. Net income for the group was $27 million for the quarter and $63 million year-to-date. Operating net income, which adjusts for certain items to reflect income from core operations and excludes the impact of non-recurring item including the runoff business, was $31.3 million for the quarter and $64.4 million year-to-date, which is greater than the prior year for both periods as a result of growth in the business, continued strong underwriting performance in Canada, improved profitability in U.S. programs and growth in net investment income. EPS was $0.56 in the quarter, which was approximately the same as the prior year as a result of the impact of the runoff in 2023, which impacted Q2 2023 positively. EPS for the year-to-date period was $1.31, which is greater than the prior year as a result of growth in the business. Operating EPS which reflects core operations and excludes the impact of non-recurring items and unrealized gains was $0.65 for the quarter and $1.33 year-to-date, reflecting growth of 16% and 17.7%, respectively, over the prior year. Consolidated ROE on a rolling 12-month basis was 14.4% at Q2 2024, which improved over the prior year due to improved profitability from U.S. programs. Operating EPS which was approximately the same as the prior year at 19.6% was approximately the same as the prior year. Equity at June 30, 2024, was $695 million, which is greater than the prior year-end as a result of positive net income in the period as well as unrealized gains on the investment portfolio and an increase in the U.S. dollar. Book value per share was $14.56 at June 30, 2024, and is greater than December 31, 2023, as a result of profit generated from insurance and investment income in the period, unrealized gains in the investment portfolio and foreign exchange gains. At June 30, debt to capital was 12.4%, which is greater than that December 31, 2023, as a result of additional borrowings from the revolving credit facility in the period. The company remains well capitalized, and we expect to have sufficient capital to meet our regulatory capital requirements. David, I'll now turn things back over to you.
David Clare: Thanks Dave. Operator, we'd now take questions.
Operator: [Operator Instructions] Our first question will come from the line of Nik Priebe with CIBC Capital Markets.
Nikolaus Priebe: Okay. I just wanted to ask about exposure to a handful of smaller cat events that happened subsequent to quarter end. I wouldn't think that the Toronto floods, Hurricane Beryl or the CrowdStrike induced IT outage would have much of an impact on your third quarter results. But I thought I'd follow up just to see if your teams have identified any sources of potential exposure that the investors should be cognizant of?
David Clare: Thanks, Nik. No, we haven't, at this stage, seen any significant exposures to any of those events. Those wouldn't be areas that Trisura has a lot of business exposure or concentration in. So nothing to highlight there that we're concerned about are following.
Nikolaus Priebe: Understood. Okay. That's good to hear. And I also had a question on your Canadian Fronting business. What would prevent your reinsurance partners from going direct in that market as they grow the scale of their premium base through you? Is it just simply the case that your partners don't have Canadian operations and so they need to use Fronting vehicles that conduit to access the market? Or do you foresee that being a risk at all?
David Clare: Yes. So on the first part of your question, you're right. These partners do not have operations in the Canadian marketplace. As you know, our marketplace is an onerous one to operate in as a regulated insurance company and often it is more efficient for our partners to access this market through a structure like ours than establishing their own entity in Canada, setting up their own capital base here and operating it as their own regulated entity. So you're right, they often don't have their own operations here.
Nikolaus Priebe: Got it. Okay. That makes sense. And then last question for me. I just -- I noticed another public company that operates mostly in the contract Surety space in the U.S., it printed a pretty strong top line growth in the second quarter. And I think they were making reference to an improving pricing environment. I'm just wondering, have you seen any evidence of pricing trends improving or waking up a bit on the Canadian side of the border in Surety?
David Clare: We haven't seen material changes in pricing at this stage. I'd say the market is relatively consistent  on that stage. What has happened in Surety markets everywhere, including the U.S. and Canada, is that construction values have increased significantly. Those construction values do inform bond prices for our Surety group. So that is driving higher premium values. Now in certain pockets of the market, there are individual trends. But overall, we haven't seen broad hardening trends extend to Surety just yet.
Operator: [Operator Instructions] Our next question comes from the line of Doug Young with Desjardins.
Doug Young: Just first question. In the MD&A, it was mentioned that the loss ratio in the U.S. was elevated versus last year, I think, and I think there was mentioned certain programs. And I think it's within the normal range and operating range for you. But I just wanted to know what programs were you seeing pressures on, what was driving that? Any concerns to point our?
David Clare: Doug. It's a good question given a lot of the focus in the U.S. right now. We're not seeing anything thematic in variability quarter-to-quarter in loss ratio. You tend to have some programs that perform well in any one quarter and some that move around. So in this quarter, certainly nothing that would highlight thematically from a trend perspective. We still got a relatively consistent mix of 70% casualty, 30% property business. The composition of our loss ratio this quarter and the contributions to it don't really drive any trends that I think are informative.
Doug Young: Okay. And then I apologize, I'm probably going to ask you this a few times in future quarters, too. But in the U.S., on the prior year reserve developments, you don't provide disclosure on a quarterly basis, but can you give us high level what you're seeing from a reserve development on that U.S. program business?
David Clare: Yes. I would say it's -- we do have a fulsome analysis of this on an annual basis, so that we do review this quarterly. I would say our reserve development quarter-to-quarter was relatively flat this quarter. I think there was some negative reserve development offset by some positive in other programs. So the materiality of that was not significant at all in the quarter.
Doug Young: Okay. So nothing stands out on that side. And then on the Canadian Fronting, I mean the growth was -- it seems like above your expectations. I guess my question is what's driving this? And whenever I see elevated levels of growth in my mind just kind of goes to managing that risk as you grow that business. So is there -- how are you going about managing that level of growth in the Canadian Fronting side?
David Clare: Yes. Two things driving the growth in that business. First and foremost, there's an expansion now on the larger book of business. So many of our established partners continue to expand their reach and their relationships with us. We've also got some new partnerships that are starting to come on board. So groups that we've established relationships with in recent quarters, now starting to build up books of business. I think it's a good question you're focusing on, because the sustainability of any business in our space determined -- is determined very much by its loss ratio performance, both in the short term and the long term. We are seeing good results on stated loss ratios in that Fronting practice. And managing and monitoring those results is both our jobs and our partners' jobs as reinsurers. We continue to monitor that very closely and continue to see very favorable our encouraging results. So at this stage, both the trends in pricing and trends and loss ratios and our expectations for the business are all within our normal course.
Doug Young: Can you remind me, and I forget whether the MGAs or the partners you're writing through, do you retain pricing, underwriting and claims control in Canada? I know it's a bit different than the U.S. I'm just trying to recall.
David Clare: Yes, it depends on the relationship. So there's a range of different types of relationships. Some of the Fronting relationships that we have in Canada are not necessarily with per se MGAs, but brokerage units who amalgamate analogous groups of risks. So often, often these partnerships, we have oversight over all of those items. And that's a big part of our job is controlling how those items are reviewed and governed and monitored. But you do rely on those partnerships and those third parties to execute on the established parameters that we established.
Doug Young: Okay. And then just last question. The spending to build out the U.S. Surety and Corporate business, can you quantify what that was. I think that was backed out of operating. And can you confirm that this was something just unique to this quarter? Or should we expect additional expenditures on that side that will be in reported, but backed out of operating?
David Clare: Yes. So a clarification there, Doug, we only back out in the quarter what we view as truly non-recurring expenses. So specific items like regulatory or consulting fees and expanding our licenses or applying to file our rates with regulators. Those types of legal fees and regulatory fees that are truly onetime, we back out. But things like salaries of our growing team that we view as very much permanent. Those types of items are not backed out. So you do have a load of expenses in that Trisura Specialty Group that is probably under levered from a premium perspective. There's obviously some backing out of the onetime items, but those consistent salary expectations. Those are going to be a drag until the business is up to scale. So I would contemplate at least for the next few quarters, there is some impact on the business of that. There's been that impact candidly for the past few quarters. And until you start to see more material premium writings in Surety and Corporate Insurance, we think that's a cost that's very worth bearing given the long-term potential of the platform.
Doug Young: That makes sense. And can you quantify? Did you -- have you provided a number?
David Clare: Yes, we haven't provided a number, but maybe we can think about that in the future, just talking about what that impact is on these ratios.
Operator: [Operator Instructions] Our next question comes from the line of Jaeme Gloyn with National Bank.
Jaeme Gloyn: Yes. Just wanted to get a -- get your perspectives. I saw the credit facility was increased by about $25 million. That leverage ratios are so well below target. Can you talk through how you're thinking about your capital position today. And obviously, given the, let's say, outperformance on growth in this quarter, how are you set up over the next 12 months?
David Clare: Thanks, Jaeme. We did have a little bit better growth than we anticipated in this quarter, but our capital sources and our internal resources to fund that growth are very well established. We're feeling very good about our capital position, both in the context of the quarterly performance as well as what we see going forward. So very happy to be able to demonstrate to our shareholders and investors that we're able to now use some internal resources to capitalize these growth initiatives, the dropping of capital down into our U.S. Surety entity, we've used some excess capital at the holding company as well as, as you know, some of this revolving credit facility, in no way have we exhausted our levers here for pursuing growth. We think that there is probably $70 million to $80 million of additional capacity before we start to approach, let's say, a 20% debt-to-capital ratio. So there's a lot of runway here to continue pursuing initiatives with internal resources.
Operator: Our next question comes from the line of Tom MacKinnon with BMO Capital.
Tom MacKinnon: Yes. Hello. Can you guys hear me?
David Clare: We can hear you, Tom.
Tom MacKinnon: Okay. Great. Just a question with respect to the move here to retain more business in the U.S. Why -- what's the trade-off here? I mean, you're getting less fee income, but you're going to pick up on more underwriting income, excluding fee income. Why do you think that's a better decision? What is the -- why do you think that you'll get better growth by using that methodology? And how does that impact capital? Because I assume as you probably would have more underwriting income, excluding fee income, you might have to hold a little bit more risk-based capital with respect to that. So just thoughts with respect to that strategic decision.
David Clare: First and foremost, the decisions we're making around retention now are informed by a few changes in our platform versus when we started. So we've got a great history with many of our partners. We're working with in the U.S. That allows us to more, more actively select and support and understand the partners that we have. So we feel very comfortable expanding retention in this environment. By that, I mean, pricing has been pretty good. Performance has been good with a lot of these partners and being able to get closer to these partners through higher retention just feels like a very good strategic alliance as we build out the platform. You've also got much more familiarity with the experience of these entities and a larger capital base. So from our perspective, I think we used to talk about a 5% to 10% target of retention. That's moved up probably to 5% to 15%. Around the edges, given our expectations for profitability of that retained business, this doesn't really materially impact our capital requirements or expectations, but it does allow us to build bigger and better strategic alliances with some of our leading partners in the U.S. I think, mathematically here and profitability-wise, you'll see a relatively consistent expectation as retention moves around, but you've identified where that's going to come through very astutely, right? This is a shift towards earned premium rather than earned fee income on the margin.
Tom MacKinnon: And do you think that this is as a result of just maturing as a company growing your capabilities here, you're just less Fronting and taking on a little bit more of the risk profile here. Did the AM Best upgrade help in building into that kind of business? And -- is it done to improve your capabilities with your business partners? Or is it done to really just as a better avenue to grow earnings?
David Clare: So on the first part of the question, we've always been a hybrid carrier. And so taking a portion of this risk alongside our partners, has always been a strategic differentiator at the launch or the outset of Trisura. I would say that expertise has both grown alongside our familiarity with these partners, but also our capital base is growing. So the percentage of any individual program that we can take becomes a little bit larger. This really hasn't changed with an AM Best outlook change or evolution of the business. But what we have seen is just an evolution of the mix of business that we have. So as those programs grow with us, and as they continue to renew, we find more opportunities to identify retention increase areas.
Tom MacKinnon: And does that impact -- how do you see growth coming? Is it just from taking on more of existing programs or adding new programs or both?
David Clare: Yes, it's going to be both. I mean, the bulk of our growth this year and last year has been expansion of existing programs. We've seen a continued healthy rate environment. We've seen continued expansion of distribution of our programs. So that's been the core driver of growth. This industry, if we talk about the program space to the MGA space is continuing to grow. It is a much larger space than it has been historically. And the program carriers like us hybrid Fronting carriers, program carriers. They still represent a relatively small proportion of that market. And so growth in the future is going to come from two avenues. It's one expansion of this market as a whole, going to come from expansion of the market share of carriers like us. And then it's going to be our ability to win business in that market. And we are one of the largest players in this space, and I think very well set up to continue taking share in it.
Operator: [Operator Instructions] We have a question from the line of Jaeme Gloyn with National Bank.
Jaeme Gloyn: Yes. Can you hear me?
David Clare: Yes.
Jaeme Gloyn: Yes. Okay. Great. A question on the investment income in the quarter. Flat on the quarter versus Q1 and looking at cash and investments, a little bit of dip quarter-over-quarter there from an outstanding balances standpoint. Is that kind of the right way to think about investments over the next few quarters, it's going to be fairly stable here? Or is there a little bit more work to be done on that side?
David Clare: Yes. It's a good nuance you pointed out, Jaeme. So we did have a little bit of dip in cash from redeployment into investments. We also have talked about a little bit in the past, Q4 and Q1 tend to be higher cash balance quarters. You're collecting a lot of premiums. You're in the process of seeding those premiums either into trust accounts or to the reinsurers. So you did have a little bit of benefit from that in Q1. That's normalized now in Q2. So the growth rates that we see in investment income are likely a bit more muted in the next couple of quarters. But as the business grows, right, as the entity continues to grow and grow profitably, there's always a path of capital through the operations into the investment portfolio. it just weakened that growth trend a little bit Q1 to Q2, maybe into Q3, and then I expect that to pick up again.
Operator: [Operator Instructions] I'm showing no further questions in queue at this time. I'd like to turn the call back to David Clare for closing remarks.
David Clare: Thank you very much, operator, and thank you to everyone who joined today. As always, should you have any further questions or would like to reach out, we're always available to talk about the business. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.